Operator: Good afternoon, ladies and gentlemen. Thank you for standing by and welcome to the Q4 2020 Golden Ocean Group Limited earnings conference call. At this time, all participants are in a listen-only mode. There will be a presentation followed by question-and-answer session. . I must advise you, the call is being recorded today, Thursday, February 18, 2021. And I would now like to hand over to your speaker today, Mr. Ulrik Andersen. Please go ahead, sir.
Ulrik Andersen: Thank you very much. Good afternoon and a warm welcome to Golden Ocean's Q4 release presentation. My name is Ulrik Andersen. I am the CEO of Golden Ocean. I am delighted to present our results today with Peder Simonsen, the company's CFO. In a moment, I will talk about the highlights of the quarter. Hereafter, Peder will present some details on our financial results. And then we will round off today's session with a market outlook and by discussing the announced transaction of acquiring 18 modern vessels from Hemen. After the presentation, we look forward to taking any questions that you may have.
Peder Simonsen: Thank you Ulrik. If we look at our profit and loss for the quarter, we achieve $125 million time charter revenue versus $143 in the previous quarter. This was due to a slightly lower market rate, just down by $2,000 per day approximately on average for each of the segments but also low discharge adjustments particularly on the Capesize ships. Our total TCE was just below $16,000 per day in Q3. This was also impacted by having three ships drydocked in the quarter which compared to zero ships in Q3, which brings our off-hire dates a little bit up. We are having eight ships drydocking for Q1. Regarding our operating expenses, they were due to mainly the drydockings, as I mentioned, up by approximately $4 million. Also it was impacted by some increased COVID -related costs which continued to impact our operation and in particular our crew change expenses. We achieved an OpEx of $6,100 on average for the fleet, which compares to full year OpEx at the same level and slightly up from the previous quarter where we did not drydock any ships.
Ulrik Andersen: Thank you. Let's head to the market review and outlook. Well, Q4 announced a while ago, so I am not going to spend a long time looking back. But a few quick remarks about the quarter, especially about the well and the despite what the graph looks like, a dramatic drop. For the Capes, the market stayed above breakeven throughout the quarter. The Panamax market developed more stable. What we particularly sort of noticed of in the quarter was the continued strong Chinese appetite for iron ore, but also the increasing inefficient allocation of coal to the tensions between China and Australia. It's a tendency that we believe will continue well into this year.
Operator: .
Ulrik Andersen:
Operator: There are no question at this time, sir. Thank you.
Ulrik Andersen: Okay. Thank you very much for dialing in.
Operator: Ladies and gentlemen, that does conclude your call for today. Thank you all for participating. And you may now disconnect.